Operator: Greeting and welcome to the Leggett & Platt fourth quarter 2009 earnings. (Operator Instructions) As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, David DeSonier, Vice President of Strategy and Investor Relations. Thank you, sir. You may begin.
David DeSonier: Good morning and thank you for taking part in Leggett & Platt’s fourth quarter conference call. I’m Dave DeSonier and with me today are the following. Dave Haffner, our CEO and President; Karl Glassman, who is our Chief Operating Officer; Matt Flanigan, our CFO; and Susan McCoy, our Director of Investor Relations. The agenda for the call this morning is as follows. Dave Haffner will start with a summary of the major statements we made in yesterday’s press release. Karl Glassman will provide operating highlights, Dave will then address our outlook for 2010 and finally, the group will answer any questions you have. This conference is being recorded for Leggett & Platt and is copyrighted material. This call may not be transcribed, recorded or broadcast without our express permission. A reply is available from the IR portion of Leggett’s website. We posted to the IR portion of the website a set of PowerPoint slides that contain summary financial information. Those slides are intended to supplement the information we discuss on this call. I need to remind you that remarks today concerning future expectations, events, objectives, strategies, trends or results constitute forward-looking statements. Actual results or events may differ materially due to a number of risks and uncertainties and the company undertakes no obligation to update or revise these statements. For a summary of these risk factors and additional information, please refer to yesterday’s press release and the section in our 10-K entitled Forward-looking statements. I’ll now turn the call over to Dave Haffner
Dave Haffner: Thank you, Dave. Good morning and thank you all for participating in our call. We’re pleased with the fourth quarter and full year 2009 results we reported yesterday, despite what was very challenging year. Fourth quarter 2009 earnings from Continuing Operations adjusted to exclude unusual tax items were $0.30 per share. In the fourth quarter of 2008, adjusted earnings from Continuing Operations were $0.03 per share. This year-over-year improvement reflects several factors, including cost reduction initiatives, pricing discipline, and a $0.06 per share LIFO benefit. Fourth quarter sales from Continuing Operations decreased 13% from the prior year, largely due to steel related price deflation. Unit volume declines moderated in the fourth quarter, primarily reflecting much easier prior year comps. For the full year 2009, sales from Continuing Operations decreased 25%, reflecting a combination of weak market demand, steel related price deflation, and our decision to exit some specific sales with unacceptable margins. Despite the significant sales decline, full year earnings from Continuing Operations adjusted to exclude unusual items, decreased only modestly to $0.86 per share in 2009, from $0.88 per share in 2008. Cost structure improvements and pricing discipline offset nearly all the impact from lower sales. Our primary focus this year has been on margin improvement. Margins for both the fourth quarter and full year improved significantly in 2009, despite weak markets. Fourth quarter gross margin, excluding the $15 million LIFO benefit, was 20.2%. For the full year, gross margin was 20.6%, the highest level since the year 2000. Fourth quarter EBIT margin excluding the LIFO benefit was 8%, and for the full year was 8.2% after adjusting for unusual items. These improvements reflect substantial operational progress through a combination of aggressive cost containment efforts, headcount reductions, facility consolidations, and dispositions. Throughout 2009, we discussed the quarterly mismatch in the recognition of LIFO benefits versus the FIFO income associated with the consumption of higher steel cost that we had in inventory and on order at the beginning of 2009. In the first and second quarters, we consumed the majority of the higher cost steel, but recognized only half of the offsetting LIFO benefit. Therefore, first half reported earnings were unusually low. In contrast, second half reported earnings were unusually high, as we recognized the remainder of the LIFO benefit with only minimal offsetting costs. We continue to discuss this issue because it is critical in understanding the quarterly pattern and variability in our 2009 operating margins. Full year margins require no special consideration for these items because for the full year, the LIFO and FIFO impacts roughly offset. The company’s primary financial objective is to consistently achieve total shareholder return within the top one third of the S&P 500. From January 1, 2008 through December 31, 2009, we posted TSR of 32%, which ranks in the top 4% of the S&P 500. For the year, we generated $565 million of cash from operations, of which $135 million occurred in the fourth quarter. This is the second highest annual level of operating cash in our history, and primarily reflects our focus this past year on working capital optimization. 2009 marked Leggett’s 38 consecutive years of annual dividend increases. In August, we increased our quarterly dividend by a penny to $0.26 per share. At yesterday’s closing price of $19.81, the current dividend yield is 5.2%. During the year, we utilized our full 10 million shares repurchase authorization, and bought our stock at an average price per share of $18.21. Our financial profile remains strong. We ended the year with net debt to net capital of 23.7%, well below the low end of our long-term targeted range of 30% to 40%. We have no significant maturities of fixed term debt until 2013 and our cash balance at the end of 2009 was $261 million. With those comments, I’ll turn the call over to Karl Glassman, who will provide some operating highlights. Karl.
Karl Glassman: Thank you, Dave. Good morning. I’d like to quickly discuss a few major topics. You will find segment details in yesterday’s press release and in the slide presentation on our website that Dave DeSonier mentioned earlier. In our Residential segment, we reported a fourth quarter sales decrease of 10%, entirely due to steel related price deflation. Unit volumes in the segment were up slightly during the quarter. As a reminder, in 2008 our steel related price increases were not fully implemented until late third quarter, so fourth quarter was our most difficult quarterly sales comparison from the standpoint of pricing. The fourth quarter of 2008 was also when our markets experienced the largest portion of the demand contraction; so fourth quarter unit volume comps became much easier than prior quarters. In our U.S. bedding business, inner spring unit volumes were flat in the fourth quarter of 2009, and box spring units increased due to market share gains. We believe the U.S. bedding industry was roughly flat during the quarter. Unit volumes in our furniture components business also grew in the fourth quarter, due to market share gains and our market strength in motion upholstery. We have yet to see clear signs that the residential markets are improving appreciably and are continuing to forecast soft and market demand. The office furniture industry remains very weak. Industry data indicates this market was down roughly 30% for the full year. These declines have moderated in recent months, as prior year comps in this industry are also getting much easier. Fourth quarter sales in our office components business were down approximately 20% from the prior year. We are watching with caution and are hopeful that the industry may be stabilizing. This business generally trails our other markets into a downturn, and typically recovers somewhat later as well. Our store fixtures business has experienced relatively solid demand this year, which in part reflects the fact that we are well placed with value oriented retailers. Fourth quarter is the seasonal low for this business, and sales were down approximately 30% in large part due to our decision to exit volume with unacceptable margins. Fourth quarter sales in our Industrial Materials segment decreased 26%, entirely from steel related price deflation that occurred in early 2009. We closely monitor trends in the steel market. As a producer of steel rod, the increase in scrap cost in recent months has narrowed the margins in our Industrial Materials segment. For 2010, we are forecasting metal margins to remain at lower, more normal levels than we’ve experienced in recent years. In Automotive, global industry production rates improved in the second half of 2009, and are expected, based on industry forecast to exceed 2009 levels in 2010. We posted fourth quarter sales growth in our Asian and North American Automotive operations, but sales were down slightly in Europe during the quarter. Cost containment and working capital management remain top priorities. As Dave mentioned, evidence of this focus is reflected in our improved gross margins and strong cash flow. Although, we don’t know when our markets will recover, at some point demand will strengthen and we have adequate available capacity to accommodate that additional volume. Leggett is extremely well positioned from both a cost and market share standpoint to benefit as demand improves. With those comments, I’ll turn the call back over to Dave.
Dave Haffner: Thank you, Karl. As we announced in yesterday’s press release, sales from continuing operations for 2010 are expected to be between $2.9 billion and $3.3 billion. The lower end of this range anticipates some potential risk of further market contraction, and the higher end allows for a relatively strong demand environment to emerge. Based on this sales range, and uncertainty regarding inflation, steel pricing and margins, we expect full year earnings from continuing operations of $0.75 to $1.15 per share. We anticipate generating approximately $300 million of operating cash in 2010. Capital expenditures should not exceed $90 million, and we expect dividends to require cash of approximately $155 million. Now, before I conclude my remarks, I’d like to express my sincere appreciation to all of our employees. You have done a remarkable job this past year in the face of an adverse economic environment. You’ve made difficult and sometimes emotional decisions in your efforts to support the company’s management and our overall strategic initiatives. You have risen to the challenges and your hard work is clearly recognized. I very sincerely thank you for all of that effort. With those comments, I’ll turn the call back over to Dave DeSonier.
Dave DeSonier: That concludes our prepared remarks. We appreciate your attention and we’ll be glad to try to answer your questions. In order to allow everyone an opportunity to participate, we request that you ask your single best question and then voluntarily yield to the next participant. If you have additional questions, please reenter the queue and we will answer all the questions you have. Diego, we’re ready to begin the Q-and-A.
Operator: (Operator Instructions) Your first question comes from Chad Bolen - Raymond James.
Chad Bolen - Raymond James: I got a question for you. In regards to the fiscal 2010 guidance, if I’ve done my math correctly, I think the EPS and sales range implies an operating margin at the low end of about 7.5% and at the high end of about 9.5% and when I look a little bit further at the implied contribution margin on a year-over-year basis. At the low end I calculate about a 20%, which is below your traditional 30% or so, presumably because you’re going to see some cost savings benefits or benefits from other actions, but at the high end of the range I get more of a 25-ish contribution margin, which is a little bit below, which does not seem to imply any kind of benefit. It should I read that as some conservatism at the high end are there puts and takes that I’m missing or am I just doing my math wrong?
Susan McCoy: Chad a couple things, you’re correct in your starting assumption at the low end. If you only coordinate the EPS and sales estimates you’re about 7.5% at the midpoint, about 8.5%, at the high end about 9.5% EBIT margins. A couple things one is that we still believe that the 30% or so contribution margin we’ve been talking to you about is real and expect to be able to show you evidence of that as volume comes back. You should expect, as I think Karl mentioned in his comments, that we do anticipate metal margins to be narrower in 2010, back to more historical normal levels, and that’s built into our guidance range, as well. So there are other factors that are in play besides just volume when you’re at either the high end or the low end of that range.
Chad Bolen - Raymond James: I guess just a brief follow up, if I’m permitted. I know this is challenging but is there a reasonable rule of some kind of given where the spreads are right now and given your current unit volume or expected unit volume of sort of a sensitivity as far as a change in the spread versus your EBIT impact, or are there just too many numbers in there that we don’t know?
Susan McCoy: There’s a lot of variability in that, Chad, but just kind of simple terms, if you assume that our rod mill producing round numbers somewhere around 500,000 tons of rod each year, then you can calculate a $5 change in the spread or a $10 change in the spread and quickly see that that amounts to somewhere between $2.5 million and $5 million. Depending on what that the dollar level change, is you kind of have to get back to the fact that we’re producing 500,000 that’s a rough number, 500,000 tons of rod, and then calculate that assumed change in the spread around that volume.
Operator: Your next question comes from Leah Villalobos - Longbow Research. 
Leah Villalobos - Longbow Research: Good morning, this is Leah Villalobos in from Mark this morning. I was wondering, I think I heard you say that in the Residential segment you’re expecting some softness in 2010 and I was wondering if you could talk a little bit more about what you’re seeing in the bedding industry specifically and sort what your expectations are with respect to units and pricing for 2010?
Karl Glassman: That currently we’re seeing a bedding units in North America flattish, which is pretty much consistent with what we experienced in the fourth quarter, so it feels like that we found bottom and not much upward momentum. There’s continued softness in the industry. In conversation with our customers it appears that there’s strength of a weekend and then there’s just not a lot of activity as the week goes along. So, our guidance is modeled around bedding units being up a percent or so for 2010, we just don’t have a lot of visibility at this point.
Operator: Your next question comes from John Baugh - Stifel Nicolaus.
John Baugh - Stifel Nicolaus: I’m going to put three of them real tight. One was just following up on that scrap rod. Could you just give us what the spreads were in 2008, 2009, roughly, and where they sit right now? That’s question number one. Number two, if revenues were flat in 2010, what you think the steel if units were flat in 2010 what the revenue would be, in other words what the steel deflation’s going to be? I think it’s mostly in the first quarter but some color there and then an update on the share authorization status? Thank you.
Karl Glassman: John, I don’t know if you passed the DeSonier test for one question, but I’ll take the first part of it and then defer to others. The metal margins, metal spread is proprietary information to Leggett. Those you can look out in published websites, look at American metal market and see what those macro market drivers are, and when we make mention of metal margins we’re speaking to the difference between the input costs, scrap versus the selling price, obviously. And what’s happened, if you’ll allow me, I’ll give you a quick history lesson that you and many of the listeners know, but maybe not everyone, when Susan speaks to metal margins, what we actually mean. We are a steel producer at our steel rod mill. You’ll remember that we pass rods from that steel rod mill to our wire facilities at market, but so we do have that pricing power, but we are a very small steel producer in the macro steel industry. What happened pre-turn of the century, a number of bankruptcies in the steel industry in the United States, significant consolidation, that metal margin started to grow and become acceptable in the early 2000 timeframe. We saw a step function up in 2004 and then the metal margin, which Leggett certainly enjoyed at that Sterling facility. It was in production at that point and is extremely well managed. Those margins regressed slightly in 2005, 2006 and 2007. They were very, very consistent. 2008, because of speculation and just pure commodity speculation, we saw a significant step function up to metal margins that were remarkable to us and we certainly benefited from that. In 2009, we continued with, certainly a regression of those margins, but they were still at a higher level and what we’re forecasting and what we’re experiencing now, actually saw it in the fourth quarter, scrap jumped significantly, the steel market did not recover as fast as that scrap jumped. Scrap jumped again in January. So our guidance is all based around metal margins that are very similar to the timeframe of 2005, 2006, 2007, so if you go back and look at those public indexes, those aren’t our numbers, but those are the best that you can see from an industry perspective. So I apologize for the long winded explanation but it is a little, I think a point of interest to people, when you step back and you think back to our last call, we spoke in terms of a 9% EBIT margin, and now Susan spoke to an 8.5% midpoint. The most significant driver to that change is what happened in metal margins in December and January. So that, I hope, answers the first question. In terms of deflation, you’re exactly right. The first quarter we see a continuation of what we experienced in the fourth quarter, where primarily residential and industrial are dealing with deflated prices. That was primarily through the system. Our price reductions were put in place really into the March, April timeframe, so it’s only the first quarter that’s impacted. So you would see the impacts of that that would pretty much parallel the fourth quarter.
Dave Haffner: Then on share authorization, I think you know we’ve got an evergreen, 10 million shares per year authorization from the Board and for the last two years we’ve fully utilized that, but it would be misleading if you modeled that we would fully utilize that this year. We don’t expect to do that. I think you remember that we look at how much cash flow we’ve got and then it’s the cash that’s left over that we dedicate toward share repurchase and the last two years we’ve had benefit from divestitures and also a lot of cash coming from working capital. We don’t expect that to repeat this year. So we’re modeling to purchase three million shares, which would basically replenish what we will issue to employees, share count probably will stay about flat.
Karl Glassman: I want to go back and give John more information. Relatively speaking, 2008 we had very good spreads. In 2009, we saw our spreads come down about 26%, and what we’re budgeting or forecasting for 2010 are spreads lower than that. So as we said earlier, I think somebody said that I think it was Susan, talking about the volume coming through that facility, we know that there’s profit elimination that we have to take into consideration and we’re budgeting our spreads lower than they’ve been for the last couple years because we think it’s more normal, just wanted to give you that.
Operator: Your next question comes from Keith Hughes - SunTrust Robinson Humphrey.
Keith Hughes - SunTrust Robinson Humphrey: Kind of building on the last question, what is your view of this recent move up in scrap prices? Is this price sustainable based on the supply demand in the markets where the scrap that you buy, just your overall view on that?
Karl Glassman: Keith, it’s Karl again. As I said, scrap jumped pretty significantly December, January. Our current view is that February will be flat. Typically, scrap starts to regress a little bit as we get to the spring thaws, but scrap is dependent a little bit today on international demand, so that’s the great unknown as to what happens. Generally, scrap will start to soften but we just don’t know. A lot of that will be dependent on industrial demand around the world, not just domestically. We have announced wire price increases on the commodity side of our business. On the component side of the business we told our customers that scrap’s jumped significantly. We have some expectation that there will be a need for price increases, but we have not specifically announced them. It’s our hope that scraps will start to fall back and that we won’t be in that position, but if scrap continues at this level or inflates from here, we will have to increase our component prices.
Keith Hughes - SunTrust Robinson Humphrey: If you do that, both in the component and the commodity side, does that change the spread argument that we’ve been discussing in this call, and particularly on the component side, it seems like that would change the margin dynamics there based on the guidance you’ve given pretty significantly too, as well. Is that correct?
Karl Glassman: The answer to both questions is actually correct in that it doesn’t change the spread dynamics that I first spoke of because those are macro steel industry spread dynamics, but you’re right, it would change the outcome of our forecasted guidance from the standpoint. Our guidance doesn’t anticipate passing through the component level at this point. If we were forced to do so and if rampant inflation hit us again, that would change that and we would get recovery, which today we’re not anticipating.
Keith Hughes - SunTrust Robinson Humphrey: Then just finally, you talked about the deflation in the Residential segment and just if you could explain that to me one more time. Was this price you had to give back, I mean more commodity items or just go through that for me real quick?
Karl Glassman: No actually, Keith, that’s on the component side. What happened was pricing, it’s hard for me even to keep track of this stuff, I don’t know how you do it with all the coverage you have, but in the fourth quarter of 2008, the commodity prices started to drop significantly. At that time, you will remember, in 2008, we had increased our customers’ prices at the component level dramatically. At the very end of the fourth quarter of 2008, we started to reduce those prices, but it hadn’t happened significantly yet. So that’s why you have this big spread year-on-year. Through the first quarter of 2009, those price decreases, based on the cost deflation, was in place and by about the start of the second quarter, it was normalized and we ran about flat through the remainder of the year and that’s where we are today. So it’s a year-on-year comp issue.
Operator: Your next question comes from Joel Harvard - Hilliard Lyons.
Joel Harvard - Hilliard Lyons: I’m going to risk DeSonier’s frown here, but I’ll ask one financial question and a totally unrelated operational question. First of all, Matt, maybe you could characterize for us please, the nature of that tax adjustment in Q4?
Matt Flanigan: Real quickly, Joel, it was a change in Mexico tax law that basically no longer allowed de-con or consolidation of tax entities down in the country, surprised virtually all of corporate America, mind you and as a result, since we are no longer going to be able to consolidate, we had to go back and review our various estimates on all of our operations down there and that’s what caused the charge in the quarter, which was about $5 million at the tax line, which is why it was seemed heavy, but that was a $0.04 impact for the quarter.
Joel Harvard - Hilliard Lyons: That’s one time?
Matt Flanigan: Yes, that’s one time.
Joel Harvard - Hilliard Lyons: You’re okay with the 35% rate?
Matt Flanigan: Yes, we are.
Joel Harvard - Hilliard Lyons: The operational question, running through the slides it looks like the Commercial business probably sucked up a lot of the “Walking away from sales.” What was the total number and is that issue pretty much behind us having left that low margin business having, let it go?
Susan McCoy: Joel, most of that is behind us. The number we quantified earlier this year was about $175 million, that was our full year estimate and we haven’t revised that. You’re right. The largest portion of that certainly came out of the Commercial side and specifically in the store fixtures business. Residential had some of it, Industrial had a little specialized, and I mean the rest of it was spread across the other segments.
Joel Harvard - Hilliard Lyons: Susan, just to follow that up then is it two thirds was fixtures and the remainder spread around or what was the magnitude?
Susan McCoy: Maybe 60% or so was probably fixtures and the rest was spread around.
Operator: Your next question comes from Allen Zwickler - First Manhattan.
Allen Zwickler - First Manhattan: Going to the store fixture segment, I just have one question. One, this question is, I saw that Wal-Mart announced that they were laying-off quite a bit of people in Sam’s Club and saying that, they were going to contract out some of their work, which is kind of the opposite of what we’ve seen in the last few years with some of these big box guys. So my question is, what is the position these days of that business overall? I mean what is steady state and to what extent would you benefit, I mean if you could quantify it at all, from some of the outsourcing that became insourcing that might become outsourcing again?
Dave Haffner: Of course the Sam’s decision, Allen, had to do with food sampling and we don’t participate in that, obviously, but I understand the underlying interest of your question. Our business with Wal-Mart has continued to strengthen over this past year or so, and our overall fixtures business is doing a Yeoman’s job of improving their performance. Wal-Mart and other value related retailers have favored Leggett & Platt’s fixture business with a significant amount of volume. We see our business continuing to grow with Wal-Mart relative to their outsourcing decisions, be it Wal-Mart or Sam’s, from my perspective and, Karl, I can ask you or Matt I don’t see that outsourcing protocol is going to have any effect on us. Do you?
Karl Glassman: No, I don’t believe so, not at all.
Allen Zwickler - First Manhattan: In general, how do you feel that business today is structured? I see what you did for the year, but what kind is the steady state there, and what is the mix of business in that business today?
Karl Glassman: Today it’s about a $250 million business that is extremely well run, is very well positioned, our performance in 2009 is evidence of that and it’s a business that I believe, now are particularly good at. There was a little bit of cleanup early in last year on the wood side of the business, but that’s behind us now. So we’re really well positioned, I think our customers view us differently today than they may have a couple years ago. I would think that, we are at the very top of their list of suppliers, in terms of performance and credibility and capability. So that’s a business that I believe properly fits Leggett and is a business that we’re dedicated to, really good execution this last year.
Operator: Your final question comes from John Baugh - Stifel Nicolaus.
John Baugh - Stifel Nicolaus: Yes, just a follow up, if I could, on the commercial area. I know seasonally the fourth quarter’s slow and the margins impacted. I know office is way down, but I’m kind of curious of the overall profitability of that business, or that segment as we go into calendar 2010?
Karl Glassman: John, you’re seeing that mix of profit is really the issue. The office side of it, under pressure with that demand down 20%, and those folks, again execute really well, the macro industry down 30%. We’re well positioned with new programs as we enter 2010. The store fixtures numbers are significantly better, but in terms of mix of profitability between the two, make an assumption that store fixtures is improving pretty dramatically and office is under pressure. I know that doesn’t help you quantify things.
John Baugh - Stifel Nicolaus: Is there a thought process at management to strategically adjust the cost of office, or is it, no, we’ll just suffer because we know the volumes so depressed and it’s going to rebound at some point?
Karl Glassman: We did reduce the cost structure in office that business is extremely profitable and we’re well positioned. Like I said, that adjustment numbers forecast that the macro office market would be off 5% this year, it will not be for us. That business is a great business for us. That’s one where rising tide, if you look at incremental margin there, and Susan can answer if 30%’s conservative. I will tell you from macro Leggett, from an office perspective, 30% is really conservative.
Dave Haffner: Well, that’s especially true, John, because of these recent cost containment and cost elimination efforts that we have said differently, and our margins will be better than we’ve seen historically once this volume comes back. As we’ve said, we’re hopeful that we’re seeing some stabilization in that office piece.
Operator: Ladies and gentlemen, there are no further questions at this time. I’ll turn the conference back over to Mr. DeSonier for a closing comment.
David DeSonier: We’ll just say thank you and we’ll talk to you again next quarter.